Operator: Greetings. Thank you for joining us today for Sun Communities Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will begin after the formal presentation. Please note that this conference is being recorded. I would now like to turn the conference over to your host, Gary Shiffman, Chairman and Chief Executive Officer. Thank you. You may begin.
Gary Shiffman: Good morning, and thank you for joining us as we discuss our fourth quarter and full year 2021 results and provide and overview of our 2022 guidance. The accelerated growth we delivered this past year is a testament to the resilience, desirability and favorable positioning of our best-in-class portfolio. As the largest owner and operator of manufactured housing communities, RV resorts and marinas, we are uniquely positioned to meet customer needs across all of our platforms. The ongoing demand for attainable housing and outdoor vacationing and leisure activities has continued tailwinds for some. With this backdrop, we’ve delivered industry-leading and sustained earnings growth, as well as meaningful value creation with our strategic acquisitions. For the year, core FFO per share increased nearly 28% and same community NOI grew 11.2% over 2020, building further on the growth we delivered throughout the pandemic, driven by high occupancy and rent increases. We added approximately 2,500 revenue-producing sites and total home sales increased nearly 43% as compared to the prior year, demonstrating the high demand to live in a Sun community. On the external growth front, during 2021 and through the date of this call, we acquired approximately $1.5 billion of properties and invested approximately $173 million in land for development to build out in the coming years. In the fourth quarter, we realized yet another milestone achievement, with the announced pending acquisition of Park Holidays for approximately $1.3 billion, which is anticipated to close mid-March. Park Holidays is the second largest owner and operator of holiday parks in the UK, with 40 owned and two managed communities. Their business model is nearly identical to that Sun’s manufactured housing platform. And this transaction allows us to apply a proven expertise and track record to a fragmented market, further expanding our opportunities and accelerating our growth potential. For the RV business, many travelers continue to discover the enjoyment and affordability of an RV vacation. The ongoing demand and interest in the RV lifestyle at Sun Outdoors is evident with accelerated same community RV revenue growth of nearly 25% compared to 2020. And compared to 2019, the same community RV NOI CAGR increased by 12%. We believe tailwinds support continued demand and a shift in consumer behavior with a strong desire to experience the great outdoors. RV sales continue to increase in volume, with RV shipments surpassing 600,000 for 2021, an all-time high for the industry. We are also pleased with the growth we are capturing in the marina business. According to the National Marine Manufacturers Association, both sales in 2021 surpassed 300,000 units for the second consecutive year, indicating continued demand. Through the end of 2021 starting with the acquisition of Safe Harbor in October of 2020, we have added 125 marinas to our portfolio, including 19 in 2021, and we maintain an active pipeline that will continue to feed our growth and shareholder returns. The longstanding relationships with Safe Harbor team has in the marina industry, the ability to transact with tax deferred securities, and Sun’s attractive cost of capital have made Safe Harbor the premier marina consolidator. At the foundation of this growth and success, our Sun’s core attributes, which encompass our commitment to our team members, including empowerment and accountability, leadership and governance as well as sustainability. We are pleased to have greatly enhanced our ESG disclosures and established a baseline from which to demonstrate improvements. We recently published our Annual ESG Report, and we responded to three voluntary frameworks in 2021. This year, Sun will continue to submit responses to these frameworks, improve in areas of identified opportunity, integrate green building practices into our new developments and incorporate the marina platform into our ESG reporting process. With confidence in Sun’s continued ability to generate industry-leading results, our Board has raised our 2022 distributions of $3.52 per share, up 6% from last year. 2021 was another year of outsized growth for Sun as we continue to expand through acquisitions, expansions, and new MH and RV community developments in addition to consolidating the marina sector. Our unparalleled focus on delivering the best customer experience and optimizing our operating platform is evident in our track record. We’re proud of this track record and recognize that we need to continue to invest in our platform, technology and innovation to deliver industry-leading growth for years to come. Supported by a favorable macro environment, we are confident that Sun has uniquely positioned to capture this opportunity as we execute on our strategic priorities. We are grateful for our dedicated team members’ daily commitment as we enhance our offerings and deliver growth with continued best-in-class customer service across the entire Sun platform for our residents, guests, members and all shareholders. I will now turn the call over to John and Karen to discuss our results and guidance in further detail.
John McLaren: Thank you, Gary. Sun delivered yet another year of strong results in 2021. Our operational strength across the entire platform is a testament to our unrivaled team managing a best-in-class portfolio. In the fourth quarter, same community NOI increased by 8.4% compared to the same period in 2020. It was driven by an 8.5% increase in revenues, reflecting a 3.6% increase in weighted average monthly rent, a 140 basis point occupancy gain and 15% growth in transient RV revenues. To further provide detail, manufactured housing same community NOI increased by 6.7% and the RV segment same community NOI grew by 14.1%. For the full year, same community NOI increased by 11.2% over the prior year. The NOI increase was mainly due to an 11.8% increase in revenues, offset by a 13.1% increase in expenses. The expense growth was mainly driven by our RV same community in line with increased transient RV revenues. Same community MH revenues increased by 5.7% and RV revenues grew by 24.8% with contributions from occupancy and rate increases. Our $1.4 billion of operating property acquisitions for the year included 11 manufactured housing communities, 24 RV resorts and 19 marinas with over 15,800 sites wet slips and dry storage spaces. Year-to-date, in 2022, we have closed on two marinas and one bolt-on for approximately $62 million. We are seeing sustained demand for attainable housing affordable vacationing. The applications to live in a Sun community averaged approximately 50,000 applications per year for the last five years, including over 55,000 applications in 2021. Home sales increased by 28.4% for new homes and 46.2% for pre-owned homes as compared to 2020. Brokered home sales increased by 38% for the year, with an average sales price of 27%. We gained nearly 2,500 revenue-producing sites during the year, with almost 1,700 coming from RV transient, the annual conversions a record high for Sun. With each conversion of transient site to annual lease, we gain an average of 50% revenue uplift within the first year. Total portfolio occupancy as of December 31, 2021 was 97.4%, which provides us with the potential for continued occupancy gains as we fill up vacant sites. In addition, we have an attractive growth pipeline as we continue building new sites in our expansion communities and ground-up developments. To that end, Sun delivered over 1,600 expansion in ground-up development sites at 19 properties in 2021. These include two newly opened manufactured housing communities with a total build out of nearly 600 sites. Our pipeline of land for future expansion in greenfield development continues to grow with the acquisition of approximately $173 million in land for future development, where there is strong demand for attainable housing and vacationing. During 2022, we expect to begin construction of five new greenfield MH communities, which when fully built out, will add approximately 1,500 new MH sites to Sun’s portfolio. Over the past five-plus years, we’ve been building our development platform in order to build new modern MH communities for better returns than the cost of acquiring existing MH communities in these locations. We believe this work and investment will provide Sun with a significant competitive advantage as we look to grow our MH portfolio over the next one to five years. As of year-end, we had nearly 11,000 zone and titled sites available for expansion in new development. Forward bookings to our Sun owned and operate RV resorts are pacing 62% ahead of last year for the first quarter and 53% ahead of the first half of the year. This pacing year-over-year provides us with confidence that demand for RV vacation and lifestyle remains strong and we are further investing in this segment to reinforce our leading position and drive ongoing demand in Sun resorts. In 2022, this investment includes an RV rebranding and supporting media campaign as we launch our new branding for our RV resorts, Sun Outdoors. For example, at the end of November, we launched our Sun Outdoors YouTube channel, and are producing a number of videos series featuring various vacation options at our RV resorts. Additionally, our proprietary Sun Outdoors’ mobile app was released live this past quarter. The app offers an image rich streamlined booking experience for our branded Sun Outdoors and sun retreat destinations. Our social media strategy continues to be the top tier performer in the outdoor lifestyle industry as guests explore their Sun of your side. Within our Marina business, we acquired 19 new marina properties in 2021, including five in the fourth quarter. Same marina rental revenue growth for properties owned and managed by Safe Harbor since 2019 was 17.8% for the full year 2021 over 2019, which is a CAGR increase of rental revenue of 7.4% for the quarter and 8.5% for the year. The main drivers of the revenue increase this quarter was strong wet and dry storage revenues, resulting from rate and occupancy increases across the portfolio. During 2021, we consistently execute on our four core investment strategies. First, reinvesting in our existing communities leads to steady demand and high occupancy to live in Sun’s properties; second, the acquisition of accretive properties continues to add revenue and cash flow; third, expansion in our existing properties provides occupancy revenue growth and high demand, low supply markets; and fourth, ground-up developments provide Sun with the ability to build the highest quality communities for our residents and guests while achieving high returns for our shareholders. This year, with our continued reinvestment in our communities, acquisition of over 50 operating properties, delivery of over 1,600 development sites and opening the first phases of two manufactured housing and two RV redevelopments, Sun successfully executed on each of these four core strategic pillars. Going into 2022, we are successfully executing our core strategies and continue the momentum to yield industry-leading growth, which is [ph] and continue the momentum to yield industry-leading growth, which could not be possible without our entire Sun team. Karen will now discuss our financial results and guidance for 2022. Karen?
Karen Dearing: Thanks, John. For the fourth quarter, Sun reported core FFO per share of $1.31, 12.9% above the prior year. For the 12 months ended December 31, 2021, core FFO per share was $6.51, which was $0.01 ahead of the top end of our 2021 revised guidance and an increase of 27.9% from 2020. During 2021 and through the date of this call, Sun acquired approximately $1.5 billion of operating properties and approximately $173 million in land for our development growth initiatives. To support this growth, Sun raised approximately $2.2 billion in equity and our operating partnership issued $1.2 billion in senior unsecured notes. This capital market activity provides us with continued capacity to pursue our growth initiatives and maintain a well-positioned balance sheet. Sun ended 2021 with $5.7 billion of debt outstanding at a 3% weighted average rate and a weighted average maturity of 8.8 years. We had $65.8 million unrestricted cash on hand and a net debt to trailing 12 months recurring EBITDA ratio of 5.7 times. On a pro forma basis, including our fully loaded trailing 12-month EBITDA and our forward equity issuances, our net debt to EBITDA would be in the mid 4 times. With regard to our outlook for 2022, we expect core FFO to be in the range of $7.07 to $7.23 per share and for the first quarter of 2022, core FFO to be in the range of $1.23 to $1.27 per share. Our 2022 manufactured housing in RV same property NOI growth is expected to be in the range of 6% to 6.8%, and our marina same property NOI growth is expected to be in the range of 6% to 7.4%. The 2022 same property pools have 428 manufactured housing in RV properties and 101 marinas. We anticipate MH and annual RV revenue-producing site gains throughout the year to be between 2,500 to 2,800, with over 60% coming from transient RV conversions to annual leases and the balance of gains in our manufactured housing communities. On the development front, we plan to deliver between 1,600 to 2,000 vacant expansion and ground-up development sites in 2022. Our 2022 G&A expense is projected to be in the range of $231 million to $236 million. As Gary and John mentioned, we have a strong track record and industry-leading position and we are seeing favorable tailwind supporting continued momentum. To further optimize our position and maximize the growth opportunities, we are making a number of investments in our platform and our team members. In addition to the Sun Outdoors rebranding that John discussed, we are making strategic investments in our business, specifically in our technology and people resources to support a new enterprise resource planning or ERP system launching later this year as well as continuing to build the Safe Harbor infrastructure to support anticipated growth. Please refer to our supplemental information for additional disclosures on the assumptions used to prepare our 2022 guidance and expected seasonality within Sun’s portfolio, as actual future events may not coincide with the assumptions used to prepare the 2022 guidance. As a reminder, our guidance includes acquisitions through the date of this call and the anticipated closing of Park Holidays in mid-March. It does not include the impact of other prospective acquisitions or capital markets activities, which may be included in research analyst estimates. This completes our prepared remarks. We will now open up the call for questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Keegan Carl with Berenberg. Please proceed with your question.
Keegan Carl: Hey, guys, thanks for taking the questions. First, on the manufactured housing rate increased guidance, can you just give us some more color plus the breakout between all age communities and age restricted?
John McLaren: Keegan, this is John. Actually, I don’t have that breakout between all age and 55-plus. We can certainly get back to you on that.
Keegan Carl: Okay. So switching gears a bit to marinas, so we’ve now seen a full year performance just kind of big picture, you reflect on the business a bit and kind of what surprised you since you’ve gotten the space?
Gary Shiffman: Yeah, I can take. This is Gary. And I think that I would characterize it as not much in the category of surprises, but very pleased in the performance as expected and underwritten. Again, I think what’s Sun’s core strength is identifying business platforms that have strong demand and low supply with high barriers to entry when we think of MH and RV and discussed how marinas is very, very similar to that. It’s performed in a manner that we underwrote to and so we continue to see a demand fact that Safe Harbor has been a leader in the marina network, its membership continues to grow, occupancies remain high, rental increases are rock solid. So pretty much what we were looking for and the opportunity to continue to consolidate the industry as fragmented as it is, is very exciting. And the pipeline in the marina area allows us to be very, very strategic in our thinking over at Safe Harbor, as the acquisitions team is able to really choose and be very, very selective on acquiring properties that will meet the travel patterns of the membership, as well as create the highest opportunity for growth. So pretty much what we had hoped for. And so we’re pleasantly pleased as opposed to surprise.
Keegan Carl: Got it. And just to follow-up on the marina pipeline. Is it fair to assume in 2022, the vast majority of your external growth is going to be tilted towards marinas and then Holiday Parks?
Gary Shiffman: No, the question always comes up about capital allocation. And we’ve always shared the fact that we will continue to deploy capital across all three business lines, and it’s our relationships in all lines, including manufactured housing that have allowed us to continue to acquire, I think, what we are finding, there is further compression in the cap rates and on the MH and RV side. So where we can get great growth, we will look to deploy capital. So that includes marinas and includes the growth of Park Holidays in the UK as we view it as the stickiest type of revenue, because it is basically our manufactured housing community model. So I think those are two areas we will continue to focus on. The third is John just said in his remarks relates to the capital that we’ve been investing and continue to invest to grow our MH platform through greenfield development. So this coming year, John said, we’re expecting to open up or start construction on five new manufactured housing communities. We’d like to see that be a minimum of five new communities per year at least. And therefore, there’ll be a lot of capital allocation to that new development of manufactured housing communities here in the U.S.
Keegan Carl: Got it. Very helpful. Thanks for the time, guys.
Operator: Our next question comes from the line of Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. Your core FFO grew 28% in 2021. And on this tough comparison, you’re still expecting a really strong 7.5% to 11% – still expecting a really strong 7.5% to 11% in 2022 with minimal benefit from acquisition. So trying to get a better understand the growth rate. Can you kind of talk through the near-term puts and takes that get you to this range, so that we can get a better sense until like what the actual underlying for normalized FFO growth rate is once we kind of get a little bit past some of these tailwinds from the pandemic? Thank you.
Fernando Castro-Caratini: Thank you, Michael. This is Fernando. As you – I think the biggest indicator is going to be our same property growth, that’s always going to be the leader from delivering growth year-over-year. At the midpoint, our manufactured housing and RV platform is expected to grow by 6.4% NOI this year, and the marina platform at the midpoint again, is expected to grow by 6.7%. That’s always going to be the largest contributor. And then we have other levers to pull, like the acquisition of operating properties, the development and fill-up of our expansion properties in existing communities, as well as Gary just said, the hopeful acceleration of investment in our ground-up development projects, those are going to be the largest components that are going to deliver year-over-year growth.
Gary Shiffman: The only thing that I would remind everybody is that no future acquisitions. And I guess as Karen says, capital transactions are actually built into our 2022 growth. So to the extent that we continue with the type of pipeline we have now that would be additive to growth this coming year.
Michael Goldsmith: All right. And on that point, does your G&A guidance include anything from the holiday parks’ UK business? Is it – this guided up to – G&A is up 27% to 30%?
Karen Dearing: Yeah, G&A for Sun and Safe Harbor is the $231 million, I think, to $236 million. The Park Holidays acquisition, which is expected in mid-March and the additional I think it is around $29 million to $30.5 of G&A.
Michael Goldsmith: That’s really helpful. And just one last one for me. Does your guidance include the additional June’s three-day holiday in mid-June in the guidance? And then you provided guidance for transient revenue, but do you have the growth rate for the same store pool?
Karen Dearing: I think – could you ask that question again, to be sure that we understand that?
Michael Goldsmith: Yeah, so does your guidance include the benefit from the additional three-day holiday in mid-June? And then also, you provided the guidance for the transient revenue growth overall, do you have that number but for the same store pool?
John McLaren: Michael, our forecasts would include the additional three-day weekend in the middle of June. And we can get back to you on the expected revenue growth in our budget for transient.
Michael Goldsmith: Great. Thank you so much. Good luck in 2022.
Gary Shiffman: Thank you.
Operator: Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Thank you. I was wondering if you could provide some more color on the marina guidance. You had 5.7% at the midpoint? Can you just discuss what’s driving this whether it’s rate versus documents increase versus the potential expansions and then you have F&B revenue?
Gary Shiffman: I just want to clarify John, 6.7% at the midpoint, not 5.7% is what Fernando shared. I think generally, from rate and continued scale, occupancy remains very strong. And similar, although we did grow by almost 60% in size in the marina platform in the last 16, 17 months. So enormous growth there, and it’s just pretty much continued operations where we have demand that just far exceeds the steps in the strategic locations that we have. So it’s rental rate growth. Along with that, there is a component of ancillary incomes and that’s not in the same community separate. So yeah, rental growth, little bit of increased occupancy and also CapEx revenue-generating investment too [ph] have strong returns.
John Kim: Gotcha, Gary. Yeah, Slide 7 is referring to 6.7% [ph] in NOI.
Gary Shiffman: Okay, sorry.
John Kim: But that brings me to my second question, on your guidance for MH, RV, your expense growth is exceeding revenue growth. And I know there’s some recent acquisitions that you’re looking to spend on. But how much of that increased expense is due to higher transient RV revenue and the variable expense that comes along with that?
Karen Dearing: It’s like that – so you’re referring to the 7.5% at the midpoint of growth and expenses, John. So really, with the – that is made up 50% of that. The increase is made up of three things. The first is really that proactive wage increase that we discussed last year, and we said be partially impacting 2021. And the other piece impacts the first half of 2022. And that’s about an $8 million impact on salaries and wages. In the first half of the year, the other two items are real estate tax assessments. Florida and Texas in expansion and development properties are seeing increased real estate tax assessments. And the other piece of it is really are the advertising spend. So those are the things that are increasing the expense growth. If you removed the $8 million from the wage and salary increases, our expense growth would be just a little above 5%.
John Kim: And Karen, you discussed the higher G&A, if it’s like a 30% increase this year, and some of that is due to investments you’re making in the platform, but how much of that increase is due to Park Holidays and Safe Harbor?
Karen Dearing: So Park Holidays is not in the $231 million to $236 million increase. That’s a separate bucket. G&A is really a reflection of the investments we’re making to continue to deliver our outsized growth. We have a great track record on executing on our strategies and we have strong tailwind. So we are net year-over-year growth. It’s really made up of continuing to build Safe Harbor, their infrastructure as they’ve increased their size, as Gary said, a little over 60% in the last 15 months and they’ll continue to consolidate that market. So pieces Safe Harbor, quarter of it is. Another quarter is related to the RV rebranding that John discussed, and the remaining half of the G&A increase is investments in our overall platform, including a new ERP system, which will be coming on board later this year. Wages and deferred stock compensation, we need to continue to build our best-in-class team and retain our best-in-class team. And then we have some other costs associated with strategic initiative with ESG reporting, the EI initiatives, data analytics, and also some costs related to ensure the success of the UK investment. So that’s really the drivers for the G&A increase.
John Kim: Is it fair to assume that some of those are one-time and the G&A increase will or the growth of that will decelerate in 2023?
Karen Dearing: Yeah, yeah.
John Kim: Okay, great. Thank you.
Operator: Our next question comes from the line of Nick Joseph with Citi. Please proceed with your question.
Nicholas Joseph: Thanks. Maybe just following up on that, what are the opportunities for either back office or G&A synergies for Park Holidays and Safe Harbor across the Sun broader platform?
Gary Shiffman: I think like I’ll share with you the following. When I talk about Sun’s really strength and ability to identify platforms that have high demand, low supply, high barriers to entry. Each one of these that we enter into require a very thoughtful, detailed underwriting. And as we share with a market on our transformed of transactions over the last 10 years, let’s just say, we look to gain scale and do gain accretion above the core portfolio in a one to two-year period of time after integrating the transformative transaction. So our expectation would be that we would begin to scale and seeing increased leveraged results in our earnings sometime throughout the next year, the marina platform. And then when we look at Park Holidays, although John and I would share very, very similar to our manufactured housing business here, it is a foreign country with FX, with accounting and taxation and regulation. So as we approach it, I think what we do best is kind of crawl and walk before we run. So there is an effort on the G&A side to reflect a bit of insurance, so to speak, that we deliver the results that our stakeholders and shareholders are looking for. So again, in 12 to 24 months out after the closing, we would love to be able to scale and see further reductions in growth of the G&A. I think that we’ve seen large growth in year-over-year G&A for the last couple of years, I think that’s going to pay strong dividends. And we’re going to be able to post strong growth as we go forward. But certainly, Park Holidays and our entrance into the UK is causing us to be very, very cautious and conservative with how we begin to undertake operating in the UK.
Nicholas Joseph: Thanks. Then you mentioned the transformative transactions over the last few years Safe Harbor, Park Holidays, even I guess with Australia, is there anything in the current acquisition pipeline that’s outside of either the kind of historical or even in the new verticals?
Gary Shiffman: No, I’d say we’re very, very focused on staying within the platforms that we have, but we’re extraordinarily excited to be able to ramp up the MH land lease type of community, both in Australia revenue – in Australia with our JV with Ingenia, as well as Park Holidays and growing that platform, very, very sticky revenue again, as been indicated by history. The Park Holidays platform we think of as very similar to our snowbird manufactured housing communities in Florida and Arizona and elsewhere, where these are second home owners. They must own a primary home by law in order to qualify for buying a home in the holiday parks. So the seasonality that you see as well as created by that pretty much coincides with the school year in the UK. So we will focus on taking the opportunity to consolidate a very fragmented industry in the UK, just as we’ve done in the marinas, and then in the U.S., we’ll continue growing our MH and RV platform. And as we talked about before, dive deeper into the new manufactured housing community development. So we really got a great strategic plan going forward. And I don’t see anything in the pipeline that would change from that.
Nicholas Joseph: Thank you.
Operator: Our next question comes from the line of Joshua Dennerlein with Bank of America. Please proceed with your question.
Joshua Dennerlein: Hey, good morning, everyone. Karen maybe just a follow-up on the Australian JV. That’s kind of the latest on that. I’m curious if you’re able to kind of ramp up on building that out.
Gary Shiffman: So I’m going to turn that over to John. He stepped into the designated board position some time ago, and really the best one to address that.
John McLaren: Hey, Josh, how you doing? As we’ve – as we shared before, I think everybody know that Australians had a pretty strict response with respect to COVID. So there’s been some delays. But that said, our JV, Ingenia, we’ve actually acquired two additional untitled parcels in 2021. So we actually now have five new developments that are underway. One is actually – one is open and selling homes nicely, and we expect three of the remainders to start construction this year. So as we might have shared on other calls, it’s been, unfortunately, a couple of years since Gary or I have been able to go out, look forward to getting my feet back on the ground out there now that things opened up and you see in these three developments start to be built. So I think things are really going to accelerate.
Joshua Dennerlein: Awesome. Appreciate that. And then appreciate the color on the seasonality of the Park Holidays EBITDA. I guess one, what drives that? And is there any kind of opportunity to maybe smooth it out and kind of expand what you – where you can achieve in 1Q and 4Q?
John McLaren: Josh, the seasonality of Park Holidays is really, as Gary just mentioned, the seasons – the season there is really between April to October. We do recognize pitch fee income over the course of the 12 months. But the activity at the properties is really during the second and third quarter, just like you would expect from our Northern RV properties here in the U.S. and Canada.
Gary Shiffman: The only thing I’d add to that longer-term, as we grow out the platform and increase the communities, we see that we’ll be able to move the sales operation from new community to new communities. So as a percentage of the overall income, the sales will reduce. Therefore, the pitch fees will increase. And as they’re recognized on a monthly basis, I would expect three, five years out that there will be less seasonality because the monthly pitch fees will be a much greater percentage than the sales revenues today.
Joshua Dennerlein: All right. Can you just clarify what the pitch fees are?
Gary Shiffman: It would be the monthly fees, we call it rent collected – site rent. They’re the equivalent of site rent in the UK vernacular.
Joshua Dennerlein: Got it. Thank you.
Gary Shiffman: They have a more or less permanent home on them.
Operator: Our next question comes from the line of Wes Golladay with Robert W. Baird. Please proceed with your question.
Wesley Golladay: Hey, good morning, everyone. I’m hoping to get a little more context on the development that you’re doing. I believe you said you want to start five new MH communities. Can you give us a sense of what you think your share is of overall image development?
John McLaren: Wes, this is John. I think it’s actually – I don’t know the exact percentage, but I’m sure it’s pretty big share, because we spent six years building this pipeline of development. And as we might have shared before, we’ve got over 10,000 sites in various stages of entitlement today, plus more that we’re looking at behind that. And so it’s – we do here about, I would say, probably more smaller RV development that’s taking place like people bolting on 30 sites, 20 sites, things like that to existing communities and there are some new ground-ups that have taken place. But I think on the MH side, I believe that we are sort of uniquely positioned in leading the industry in terms of what we’re developing, just because it does take as long as it takes to build that pipeline as we have for the last five, six years.
Wesley Golladay: And you also acquired in Jellystone or LSI this quarter. Can you talk about what your thought process is behind that for LSI this quarter? Can you talk about what your thought process is behind that investment?
John McLaren: Yeah, for sure. The biggest pieces that we currently own 21 Jellystones in the portfolio today. So it was really a strategic acquisition, for us to enhance what we believe is a really important camping – family camping brand and put our know-how to it and merge it together. So that, frankly, we control the brand message, the reach and the guests experience is really important to us. So it’s more strategic in nature. And when you look at what’s taking place over the course of 2021, with having over 230,000 new guests to our resorts, the tailwinds that are happening, the booking pace that we’re seeing with 62% ahead of the first quarter of last year, and over 50% ahead of the first half of last year, adding on the launch of Sun Outdoors, our social strategy, the new website, mobile app, other platforms that are engaging idle RVs that are sitting in people’s backyards, to monetize that and get more rigs out onto the road. And so that inherent demand is increasing. That seemed like a very logical thing to do from a strategic nature to extend the brand that we have just launched with Sun Outdoors.
Wesley Golladay: I just have one follow-up on Park Holiday. You guided to the EBITDA, but can you tell us how much of the – is going to be derived from vacation home sales, and while that flow into FFO?
John McLaren: I was – the split of gross profits which will mirror EBITDA contribution for 2022 and some of the high 30% from the sale of homes, the – and then the rest of it split. You’ve got about 30% coming from site fees with owners in – on those properties, about 20% the transient vacation rental stays and the balance in an F&B, retail, dining and entertainment.
Wesley Golladay: A real quick for an add on that one. For the 30%, that is home sales, would any of that be backed out FFO or they all be new home sales?
John McLaren: There is a small amount of homes that are depreciated that would be backed out of FFO. But it’s, call it, about 15%, 20%.
Wesley Golladay: Got it. All right. Thanks, everyone.
Operator: Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi, good morning. Question about the Sun Outdoors branding, I guess how do you look at the ROI of that initiative? And are you trying to drive more transient revenues, [indiscernible], curious how you think about that overall?
Gary Shiffman: Yeah, I think everything really drives towards the growth in annual leases within our communities. I mean, the starting point in the evolution of RV is people come out more on a short-term basis to stay the weekend, they might have a pop up. And they might start off as tent campers when they come in. And they sort of graduate through it all to hopefully meet come conversions of transient guests to annual leases, which, as we shared before, provides a 50% uplift in revenue in that first year. And so, the strategy behind it was one, we have an incredibly beautiful portfolio of properties that we’ve accumulated over the last 10 years is to layer a brand over it, okay, providing the highest quality resorts and unparalleled customer experience and satisfaction. And by organizing that into a set of properties of segmentation, which Sun Outdoors is going to be for more short-term stays, Sun treats for seasonal stays of the annuals I was talking about a minute ago, and then some resorts and residences for 55-plus communities. And so as you sort of align that up against what we have today, and the goal of converting people along the way and the success that we’ve had, like we had last year with over 1,700 conversions of short-term guests to long-term leases, and what we shared in our guidance, the bigger portion of our RPS gains are going to be associated with those conversions. And then add that to the pipeline of sites that we have that are opportunities for conversions. It all kind of flows together, which is sort of the business case for launching the brand being more organized around it and flowing our guests through those – through the lifecycle of a guest and RV resort.
John McLaren: I think I would add, Anthony, the conversions that John talks about represent a first year uplift of about 50%, okay, first year uplift of about 50%, okay, in revenue. So when we talked about the returns, and we looked at all the returns on the investment, that is a big part of what is created there.
Anthony Powell: Thanks for that. And in terms of guests that the holiday park model, do you think this could be brought to the U.S.? I imagine that it could be easier and theoretically to get new holiday parks entitled versus traditional MH in various parts of the country. So it could be opportunity for development longer-term, have you thought about that?
Gary Shiffman: Ironically, as I said before, it’s really a mirror image of what we do currently in our manufactured housing communities and especially the areas where the snowbirds come in. So they’re up in often their northern homes during the nice part of the year. And then they head down to their second home, their vacation home, down in Florida and Arizona and other places where we have. One of the things that we’re strategically looking at as we continue to look to expand our manufactured housing community portfolio, is the concept of more vacations, second homes. And so we’re looking in areas where people want to vacation, or they want to be outdoors close to their outdoor habits of skiing or biking and hiking and things like that. So coincidentally, very similar to the Park Holidays model that exists, which is mostly coastal within a two, three-hour ride of London and most heavily populated areas in the UK. So something we were already looking at and something that intrigued us when we saw that that model already existed in the UK. So it’s kind of a bit of a coincidence that we identified the opportunity and have an opportunity to take a fragmented and consolidated vacation, second home opportunity in the UK, and kind of a season. At the same time, we are currently trying to build that model in the U.S. So I’m sure there’ll be a lot of transatlantic learning, so to speak, back and forth. So it is a good point.
John McLaren: And right in our wheelhouse.
Anthony Powell: Got it. Maybe one for me on cap rates. You mentioned cap rate depression in MH. I guess where the cap rates now in MH, RV and marina? And have you changed at all the past several weeks as rates have come to the forefront here?
Gary Shiffman: Yeah, I can’t say I’ve seen any change things probably on their work. So it takes more than a couple of weeks, if there’s going to be some change. But we’re currently seeing and have been seeing continued cap rate compression in MH and RV. Certainly, everything is trading in the low-4s and much of it is trading sub-4 and the 3s. That pressure and the shortage of assets has continued with cap rate compression. On the marina side and hence, by the way, the reason where we think we can build a manufactured housing community to a far better return than buying something at one of those cap rates. We still have a good pipeline. We’re probably in the low-4s and mid-4s in our pipeline, where we’re transacting. On the marina side, we’ve seen since Sun’s announcement, more interest in the marina activity. Certainly, the sale of Sun tax and recapitalization with Centerbridge. We’ve seen them acquire more properties at tighter cap rates. So we’re probably expecting to see 50 basis point to 100 basis point compression in marinas over the next year or so as the interest remains. And what we’re pretty much seeing is that we’re buying anywhere from the 6, 6.5 to 8, 8.5 cap rate range in the marinas. And we’ll watch that closely as the year goes by.
Anthony Powell: Thanks for the detail.
Operator: Our next question comes from the line of John Pawlowski with Green Street. Please proceed with your question.
John Pawlowski: Hey, thanks for the time. On the five manufactured housing greenfield development starts, could you share the stabilized yield underwritten and the time to stabilization?
Fernando Castro-Caratini: John, this is Fernando. On these projects, we’re looking to stabilize within four to five years on the manufactured housing side within four to five years on the manufactured housing side and cash on cash yield for those in the 6% to 7% range. When you compare that to, as Gary was saying, acquisition cap rates in the low-4s or sub-4, in many instances, we were developing to pretty healthy development yields or development spreads.
John Pawlowski: Okay. And then Fernando, could you share the transient revenue growth assumption that underpins the 6.6 to 6.9 guidance. And having trouble reconciling John’s remarks for reservation paces well above I think he said 50% above where it was a year ago, but the sharp moderation in NOI you are forecasting?
Fernando Castro-Caratini: Well, the moderation in NOI is really a more normalized year in 2021 from a comp standpoint, that did grow RV. Same community NOI growth grew by almost 29%. Last year, that’s really, given the COVID impact during 2020. So there is some moderation. But it’s really from a comp perspective, I would say the – in our budget, our RV transients same property growth is projected for the year is probably in the 10% to 12% range.
John Pawlowski: Okay, thank you very much.
Operator: Our next question comes from the line of Brad Heffern with RBC Capital Markets. Please proceed with your question.
Brad Heffern: Hey, good morning, everyone. I was wondering if you could give a walk of the 1Q guidance. It’s obviously a similar number to what it was last year. And it really hasn’t changed over the past couple of years. So I’m curious is that just because the acquired FFO has been highly seasonal? Or is there a unique headwind this year, maybe like the G&A that you were talking about previously, that that’s depressing it?
Karen Dearing: This is really a seasonality item, as you mentioned. There’s growth in dollars about the fall in Q1, but it is the lowest quarterly contribution to FFO. And it has the greatest impact of weighted average share increase year-over-year, because of the timing of our equity raises in 2021. So nothing unusual about the quarter, but for that it’s the lowest contribution because of seasonality and because of the impact of weighted average share.
Brad Heffern: Okay, got it. And maybe for you as well, Karen. Can you just talk through the funding picture for the year? Obviously, you have the the $1 billion-plus in unsettled forwards, but should we expect to see like a sterling debt offering potentially at some point or any other expected capital markets activity, given what you know now?
Gary Shiffman: We will evaluate capital markets over the course of the year. The sterling denominated bond market is certainly open – will be open to us once we close the Park Holidays transaction in a fantastic way to naturally hedge our investments in the UK. We will complement that with continuing our path on the unsecured bond issuance in the U.S. as well from a debt capital perspective. And then as investment opportunities come up, we will look to other capital markets as well.
Brad Heffern: Okay, thank you.
Operator: There are no further questions in the queue. I’d like to hand the call back to management for closing remarks.
Gary Shiffman: We want to thank everybody for participating on the call today. And as we always close, John, Fernando, myself and Karen are always available for any follow-up, and we look forward to speaking to you on the first quarter earnings call. Thank you, operator.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.